Operator: Good morning, ladies and gentlemen, and welcome to the Third Quarter 2014 Earnings Conference Call hosted by BNY Mellon. At this time, all participants are in a listen-only mode. Later, we will conduct the question-and-answer session. Please note that this conference call and webcast will be recorded and will consist of copyrighted material. You may not record or rebroadcast these materials without BNY Mellon's consent. I would now turn the call over to Mr. Izzy Dawood. Mr. Dawood, you may begin.
Izzy Dawood: Thanks, Wendy, and welcome, everyone. With us today are Gerald Hassell, our Chairman and CEO; Todd Gibbons, our CFO, as well as our executive management team. Let me take a moment to remind you that our remarks today may include forward-looking statements. Actual results may differ materially from those indicated or implied by the forward-looking statements as a result of various factors. These factors include those identified in the cautionary statement in the earnings release and those identified in our documents filed with the SEC that are available on our Web site bnymellon.com. Forward-looking statements in this call speak only as of today, October 17, 2014, and we will not update forward-looking statements. Before we begin, I would like to note two changes in our earnings materials. Firstly, I have introduced a financial highlights presentation which is a summary review of our revenue, expense and business segment trends along with related commentary. We will use the financial highlights presentation to discuss our results. In addition, we have consolidated our earnings press release and earnings review documents into one earnings release document. The earnings release and financial highlights presentation are available on our Web site. Now I would like to turn the call over to Gerald. Gerald?
Gerald Hassell: Thanks, Izzy and good morning everyone and thanks for joining us this morning. Let me highlight some of the key takeaways for the quarter. We achieved continued momentum in investment management and investment services as we saw strong fee growth in these businesses reflecting our focus on developing and delivering the very best capabilities in the marketplace. We drive continued progress on the expense control front. As our expense growth rate was well below the growth rate of our fee revenues. We maintained a strong capital position, which prepared us well to comply with all the regulatory requirement, while allowing us to continue to invest in our businesses and maintain a high capital payout ratio. And as you can see on Page 3 of our highlight deck, we had earnings per share of $0.93 and that included $0.29 per share for previously disclosed gains net of litigation and restructuring charges. Investment management had another excellent quarter with investment management and performance fees up 7% year-over-year. Asset center management increased 7% to a new record, 1.65 trillion driven by net new business. And also during the quarter we had 13 billion of net long-term flows reflecting the strength of our liability driven investment strategy, and interesting as we also had $19 billion of short-term inflows. Turning to investment services, fees grew at 5% year-over-year driven by strong growth in asset servicing, clearing and treasury services, which more than compensated for a decline in the issuer services. So in spite of the continued runoff at high value securitizations in corporate trusts investment services overall had a very healthy revenue increase. Assets under custody or administration were up 3% to $28.3 trillion. In foreign exchange our continuing enhancements are helping us gain new clients on our FX platform and that contributed to the sharp volume gains that helped mitigate the significant decline year-over-year in industry-wide volatility. Now of course recently market conditions have increased that volatility which is generally good for market participants. Now we also saw an increasing contribution from our collateral services, which helped our growth as clients are increasing their use of our optimization and segregation solutions. On the expense front, our aggressive commitment to reducing expenses and improving productivity is showing up in our numbers, particularly when you look at the trend and staff expense. Our normalized expenses were flat year-over-year and up only 1% sequentially, very strong results when given against the revenue growth that we experienced in investment management and investment services. Our capital position remains strong even after giving effect to the repurchasing of 11 million shares during the quarter for $431 million. Interestingly, we have repurchased about 3% of our shares outstanding this year. Now we also delivered an outstanding return on tangible common equity of 18% for the quarter. So all-in-all, good fee momentum, good progress in reducing the growth rate of expenses and an enviable capital position. Now at our Investor Day Conference on October 28th, we’ll discuss in more detail how we plan to enhance our revenue growth, continue to control expenses, manage to the new liquidity and capital standards and how we intend to deploy the significant level of excess capital that we generate. And much of the focus will be on the work underway to maximize returns and create value for our shareholders, above and beyond what we’re delivering today. And importantly we’ll also share the key performance targets that you could hold us accountable too. And before I turn it over to Todd I want to highlight two recent actions that we’ve taken as we continue to optimize our business mix. First, we repositioned our market group exiting derivative sales and trading. This will improve our operating margins and return on capital. We simply were not large enough player to get an adequate return on capital and bare the increasing risk management and over say cost. Second, last week we announced an acquisition that we will add new specialized fixed income solutions to our diverse portfolio of capabilities. We agreed to acquire Cutwater Asset Management which is a U.S. based fixed income and solution specialist. They have a 20 year track-record and approximately $23 billion of assets under management. Cutwater will operate as part of our investment management unit and we’re closely with Insight our highly successful LDI specialty boutiques. It will allow us to extend our LDI and fixed income specialist strategy into the U.S. marketplace so we’re very excited about that acquisition and also the repositioning of our markets group. So with that, let me turn it over to Todd.
Todd Gibbons: Thanks Gerald, and Page 5 of the financial highlights document details of our reported results. As Gerald mentioned, we had EPS of $0.93 that included $0.29 per share for those previously disclosed gains net of litigation and restructuring charges. As you look at our numbers, you will note that we had a $0.01 benefit related to our loan loss provision credit so we see it as a $0.63 quarter. Now given the significant asset gains in the quarter, I think it’s best that we start with the summary of our adjusted results which are on Page 6. Revenue was down year-over-year as strong growth in investment management and investment services fees was offset by lower investment and other income and lower net interest revenue. However, if you look at our revenues excluding the volatile investment line, it was up about 2%. I will provide more color on the revenue drivers shortly. Expenses were flat year-over-year and up slightly sequentially representing the continued progress on expense control. Our operating leverage was up 245 basis points year-over-year if you exclude the impact of the investment and other income. Our pre-tax margin was 29% and our return on tangible common equity was a strong 18%. On Pages 7 and 8, we will call out some business metrics and I think help explain our underlying performance. In terms of our investment management business, on Page 7, you can see that record AUM of 1.65 trillion was up 7% year-over-year driven by higher equity market values, as well as net new business. During the quarter, we had net long-term inflows of 13 billion and short-term inflows of 19 billion. On Page 8 you can see that assets under custody and administration at quarter end were 20.3 trillion that’s up 3% year-over-year, primarily reflecting higher market values. Linked quarter AUC/A was down 1% due to lower market values as the Footsie, MSCI and the Barclays bond index were all down in the quarter. We had an estimated 115 billion in new AUC/A wins during the quarter. Now many of our key metrics showed growth on a year-over-year basis as well. The market value of securities on loan at period end showed strong growth. Average loans and deposits in wealth management and as well as in investment services continued their trend upward. Our key broker deal and metric of average tri-party repo balances was also up. Our clearing metrics were also good, although DARTS volumes were off slightly as we typically see in the third quarter, active clearing accounts were up and long-term mutual fund assets showed especially strong growth. The number of DR programs declined in the quarter, reflecting an increase in the number of terminations that exceeded the number of new issuers. In addition to that, we continue to maintain our pricing discipline in this business. Looking at fee and other revenue on Page 9, asset servicing fees were up 6% year-over-year and up slightly sequentially. The year-over-year increase primarily reflects organic growth, higher market values, net new business and higher collateral management fees. Sequentially organic growth was partially offset by seasonally lower securities lending revenue. Clearing fees were up 7% year-over-year and 3% sequentially. Both increases were driven by growth in clearing accounts and mutual fund positions and by overall higher asset levels. The sequential increase also reflects higher DART volumes. Issuer service fees were down 2% year-over-year and up 36% sequentially. The year-over-year decrease reflects lower Corporate Trust fees, partially offset by new business and DRs. The sequential increase is primarily due to seasonally higher dividend fees partially offset by lower Corporate Trust fees. When you look at our investment services you will see that our investment services fees as a percentage of non-interest expense, what we call the coverage ratio was 100% in the third quarter. That’s up approximately 300 basis points from the year ago quarter primarily reflecting strong fee growth with little changes in our expenses. The impact of the currencies for the full quarter had a neutral impact to our pre-tax income, but it's worth noting that it caused a slight revenue increase that was offset by an equal expense increase, most of that impact in investment management. Investment management and performance fees were up 7% year-over-year and down slightly sequentially. The year-over-year increase primarily resulted from higher equity markets, the currency impact and higher performance fees. The sequential decrease was driven by seasonally lower performance fees. FX and other trading revenue was down 4% year-over-year and up 18% sequentially. FX revenue of 154 million was unchanged year-over-year and up 19% sequentially. Year-over-year, higher volumes offset lower volatility. As Gerald mentioned the enhancements we’ve made to our FX platform helped us capture more client activity. The sequential increase reflects higher volumes. Turning to Page 10 of the financial highlights, you’ll see that net interest revenue on a fully taxable equivalent basis was down 6% versus the year ago quarter and essentially flat to the second quarter. The year-over-year decrease primarily resulted from lower asset yields and lower accretion that was partially offset by higher average interest earning assets and of course those assets were driven by higher deposits. The net interest margin for the quarter was 94 basis points it is down 22 from the year ago quarter and 4 from the prior quarter. Now we also point out here that euro-denominated for deposits now make up approximately 15% of our average deposit liabilities. During the quarter as you’re probably aware the European Central Bank lowered the rate it pays on funds left at the bank to minus 20 basis points. To mitigate the impact of that move, we’ve taken a number of actions. As of October 1st we began charging for deposits. We’re also continuing to reduce our interbank placements and as we mentioned before we are increasing high quality liquid assets with the cash related to that. For the quarter, our securities portfolio increased by $10 billion, that’s about 10%. We added agencies, treasuries and severance so that’s increasing our high quality liquid asset portfolio. Turning to Page 11, you’ll see that non-interest expense decreased slightly year-over-year and was up 1% sequentially. We have reduced staff expense year-over-year as lower pension expense and the impact of technology in-sourcing and streamlining actions offset higher professional legal and other purchase services, the currency impact and the annual employee merit increase. The sequential increase primarily reflects the incentive reduction recorded in the second quarter that was related to an administrative air, as well as the impact of the factors that I just noted. You will notice that headcount increased by 100 year-over-year, it was down by 200 sequentially. I want to remind you of our technology talent strategy of in-sourcing developers to reduce our application development cost. Year-over-year, we have eliminated more than 700 contractor related roles in technology and replaced them with permanent staff. Despite this our employee count is only up 100 position and compensation expense is lower, clear evidence that the strategy is working. As we indicated last quarter, we continue to believe that our operating expenses for the full year should be about flat. Turning to the capital ratios on Page 12, they were unchanged despite the growth in capital. This was largely driven by an increase in risk weighted assets, that’s associated with the calculation for operational risk. Our estimated supplemental leverage ratio was down 10 basis points to 4.6% due to the increase in our balance sheet in the third quarter. A few points to factor into your thinking about the fourth quarter, we would expect a reduction in depositary receipt fees and there will be a limited offset in expenses on that. Seasonally higher performance fees in the fourth quarter will somewhat mitigate the DR drop-off but will cause the related expense increase. Net interest revenue is expected to be approximately flat to the third quarter. Expenses should be up sequentially driven by seasonally higher business development, legal and consulting expense as well as the higher staff expense reflecting to rise in performance fees. The effective tax rate should be around 25%-27%. And finally we intend to continue to execute on our CCAR capital plan, of course subject to market conditions. All-in-all a strong quarter, good fee growth in our two segments, good expenses control and we continue to execute on our capital plan. With that let me hand it back to Gerald.
Gerald Hassell: Alright, great, thanks. And Wendy I think we can open it up for questions now.
Question: 
and: 
Operator: Thank you. At this time, we are ready to begin the question-and-answer session. (Operator Instructions) We ask that you please limit yourself to one question and one follow-up question. Our first question comes from Glenn Schorr with ISI.
Gerald Hassell: Hi, Glenn? 
Glenn Schorr : How are you?
 ISI Group: How are you?
Gerald Hassell: Good.
Glenn Schorr : So, I guess the question has is, it’s not a big move but capital ratio is down a little bit, SLR down a little bit. I wondered if you could just get a little color on that?
ISI Group: So, I guess the question has is, it’s not a big move but capital ratio is down a little bit, SLR down a little bit. I wondered if you could just get a little color on that?
Todd Gibbons: Sure Glenn, this is Todd. In terms of the risk weighted asset ratios you did see a little pop in our capital. It was somewhat offset. It would have been larger but there was an OCI adjustment related to the accumulated transaction account, largely driven by the change in the dollar value over the quarter. And if you look in the denominator on the risk weighted assets there was a pretty significant increase related to operational risk. And what happened to those models are informed by external losses and there have been quite a few external losses even though they are not losses that we have incurred when others take large provisions it can inform those models and drive higher operational risk calculation. And that’s what we have seen.
Glenn Schorr : And what is ops RWA as a percentage of total?
ISI Group: And what is ops RWA as a percentage of total?
Todd Gibbons: I don’t think we disclose that, but it is a substantial percentage of the total for the advanced approach, it doesn’t apply to the standardized approach.
Glenn Schorr-ISI Group: Okay.
Todd Gibbons: If you notice Glenn that’s why you will see the standardized approach actually increase.
Glenn Schorr : Yes, yes I got it. Okay, you said limit it to one. I appreciate it.
ISI Group: Yes, yes I got it. Okay, you said limit it to one. I appreciate it.
Todd Gibbons: Thanks Glenn.
Glenn Schorr : Thanks.
ISI Group: Thanks.
Operator: Thank you. The next question is from Ken Usdin with Jefferies.
Ken Usdin : Hi, good morning. Todd I was wondering if you could expand a little bit upon the pushes and pulls within NII as it relates to LCR the final rules. You addressed the commentary about extending placements and charging for the deposits. But just on LCR and just how much more you need to go. And then how you will be adjusting to the final rules? Thanks.
Jefferies: Hi, good morning. Todd I was wondering if you could expand a little bit upon the pushes and pulls within NII as it relates to LCR the final rules. You addressed the commentary about extending placements and charging for the deposits. But just on LCR and just how much more you need to go. And then how you will be adjusting to the final rules? Thanks.
Todd Gibbons: Sure. As you know we got the final rules earlier in the September. And they were a little more favorable for the treatment of operational deposits. And they are below top on Muni assets for example. So we look well positioned our estimates right now on these our estimates and obviously we -- it is easy to compute the high quality liquid assets, it’s still fairly difficult to compute the actual denominator. But our estimates are that we are well in excess of the 80% that we need to be on January 1st. Given that we still are looking to do a little restructuring and some of that you might know in what we did this quarter the municipal was down a little bit. That’s still open for discussion. There is a possibility that that position on municipals could change. And agencies, treasuries and some severance we increased as we brought down some of our placements. We are actually kind of -- we are going to give a lot of detail on this on the Investor Day. But I think the good news is we are meeting the standard. We are well positioned to meet the future standard. And it’s not having a dramatic change in our portfolio or in our estimates around our net interest income.
Ken Usdin : Okay, thank you Todd.
Jefferies: Okay, thank you Todd.
Todd Gibbons.: Thanks Ken.
Operator: Thank you. Our next question is from Betsy Graseck with Morgan Stanley.
Betsy Graseck : Hi, good morning.
Morgan Stanley: Hi, good morning.
Todd Gibbons: Good morning.
Betsy Graseck : So, I just wanted to understand the methodology and process for charging for deposits over there in Europe. Just wanted to make sure I understood how you were doing that is it a one side that’s all is it how you’re dealing with how people paying you via soft dollars, if you could just give us a little color there?
Morgan Stanley: So, I just wanted to understand the methodology and process for charging for deposits over there in Europe. Just wanted to make sure I understood how you were doing that is it a one side that’s all is it how you’re dealing with how people paying you via soft dollars, if you could just give us a little color there?
Gerald Hassell: Betsy, why don’t I and Brian Shea address that, so Brian?
Brian Shea: Hi, Betsy, generally, what we’re doing is essentially passing through the 20 basis point fee that we’re absorbing from the European Central Bank clients understand that we are actually not initiating this but actually passing through the fee that we’re absorbing. We’re working collaboratively with our clients to help them manage their cash in a way that reduces their exposure to that and to the extent we can find other short-term investment vehicles or off balance sheet cash management vehicles we’re helping them do that to reduce their exposure to that cost.
Betsy Graseck : So if you have had people leaving excess deposits as a form of paying you for services. Does that then drive some higher hard dollar fees if they’re moving off of soft dollar pay? 
 Morgan Stanley: So if you have had people leaving excess deposits as a form of paying you for services. Does that then drive some higher hard dollar fees if they’re moving off of soft dollar pay? 
Brian Shea: Well generally with rates being so low there has really been no earnings credit on the deposits to start with. So there really isn’t that issue and that hasn’t been for some period of time. We’re really just trying to work with the clients to make sure that they have, there is limited amount of deposits on our balance sheet that they are subjected to that cost. And so in some ways we’re seeing some of our euro deposits come down not surprisingly which is good because we don’t have to hold capital against that item. So we’re really trying to work very collaboratively with our clients to mitigate that cost and there really hasn’t been any earnings credit on the deposits to start with.
Gerald Hassell: And typically that’s not something that takes place much in Europe it’s nowhere near like in the U.S.
Betsy Graseck : Got it, so in your two weeks into it, I mean I guess the question is how much impact do you think this is likely to have on being able to shrink the balance sheet?
 Morgan Stanley: Got it, so in your two weeks into it, I mean I guess the question is how much impact do you think this is likely to have on being able to shrink the balance sheet?
Gerald Hassell: I think the -- not a whole lot Betsy because we’re seeing everybody else do it. So this is becoming a fairly common practice. We have seen and we’ve indicated that we had about 15% of our total deposit base is in the euro it’s denominated in euro. We’ve probably seen that come down a little bit.
Betsy Graseck : Alright, thank you.
 Morgan Stanley: Alright, thank you.
Operator: Thank you. The next question is from Alex Blostein with Goldman Sachs.
Alex Blostein : Thanks. Good morning everyone. Just another follow-up I guess on the balance sheet. We’ve seen the deposits kind of continuing to balloon across the system for some time. Are you guys, in particular, do you guys have a slightly better sense the source of these deposits is essentially the same clients are you starting to see different mix shift within that? And I guess Todd just as a follow-up to your point on moving some of the cash and securities portfolio. Can you give us a sense of the pace at which you guys are willing to do that and does the current moving rates change that strategy for you at all?
 Goldman Sachs: Thanks. Good morning everyone. Just another follow-up I guess on the balance sheet. We’ve seen the deposits kind of continuing to balloon across the system for some time. Are you guys, in particular, do you guys have a slightly better sense the source of these deposits is essentially the same clients are you starting to see different mix shift within that? And I guess Todd just as a follow-up to your point on moving some of the cash and securities portfolio. Can you give us a sense of the pace at which you guys are willing to do that and does the current moving rates change that strategy for you at all?
Gerald Hassell: Sure Alex. Why don’t we start with where the deposit growth has come, I think there were some dislocations in the third quarter. And I’d say there are a couple of drivers to that. I mean one of the things that you saw is that the Fed put a limitation on its total amount of reversed repo that is intended to do at quarter end so it reduced it from really no cap to 300 billion. That meant that towards the end of the quarter that there were substantial money market funds that had nowhere to place the fund. So the likely recipient of that is going to be the custodian for those money market funds. So, I think that’s a little bit of a temporary distraction if you will or disruption. I think also you’ve seen the large dealers take down their matchbooks which had a similar impact. And there was a particularly important period and this is, I think this is a permanent reduction but right now the impact of the reduction is ending up in the banking system and it kind of needs to I think work its way through. So we do think we’ll probably see a little bit more of this before we see this cash kind of find a permanent home. In terms of your other question I think we’ve made substantial. We did increased the duration of the securities portfolio in the third quarter a little bit. I think now the repositioning is going to be what we wanted to do within the H2 ally. We do have a fair amount of Central Bank deposits they’re low risk they’re low yield. And really the only action that you could take would be to extend duration within that portfolio if you wanted to increase the NIM. And I think we’d be a little bit defensive about that. There is potential capital risk to it and I think the opportunity cost to taking on very low yielding securities at this point is pretty high.
Alex Blostein : Got you, make sense. Thanks.
 Goldman Sachs: Got you, make sense. Thanks.
Operator: Thank you. The next question is from Brennan Hawken with UBS.
Brennan Hawken : Good morning guys. So, a quick one, could you, do you see -- it just may be helpful to try to think about how much of these restructuring and litigation is environmental and how much is management action? Is it possible to break those two out or at least give us some color on how those break down? And then also why the litigation and restructuring drove up the tax rate like was there an accrual for fines are something in there. Just maybe help us understand some of that?
 UBS: Good morning guys. So, a quick one, could you, do you see -- it just may be helpful to try to think about how much of these restructuring and litigation is environmental and how much is management action? Is it possible to break those two out or at least give us some color on how those break down? And then also why the litigation and restructuring drove up the tax rate like was there an accrual for fines are something in there. Just maybe help us understand some of that?
Todd Gibbons: There is about $60 million of restructuring expenses and $160 million of litigation expenses. When we look at the restructuring that’s largely around the actions that Gerald mentioned around the markets group and we think that’s going to have some long-term positives on us, for us. I would say that when we think there is appropriate actions like that to take in the future we will taken them. In terms of the litigation we apply a tax rate that’s reflective of the jurisdiction related to the matter. And that’s why that tax rate was relatively low and the after tax impact relatively high.
Brennan Hawken : Got it. Okay. Thank you. And then thinking about volatility here we’ve seen not only last quarter the reflected results but quarter to-date. A lot of the investment banks had walked through how the volatility we’ve seen here this current quarter is not really as helpful to drive revenues. Is that, well also what you’re seeing or is volatility, volatility and you’re going to benefit on either side. In other words are the trends that we’ve seen so far sustainable here into the fourth quarter from your perspective?
 UBS: Got it. Okay. Thank you. And then thinking about volatility here we’ve seen not only last quarter the reflected results but quarter to-date. A lot of the investment banks had walked through how the volatility we’ve seen here this current quarter is not really as helpful to drive revenues. Is that, well also what you’re seeing or is volatility, volatility and you’re going to benefit on either side. In other words are the trends that we’ve seen so far sustainable here into the fourth quarter from your perspective?
Todd Gibbons: Yes just a quick comment on that some level volatility is generally as we said it is helpful to most market participants. That being said, with more and more going to electronic trading and more and more within time spreads and more and more within a very, very, very narrow range, the volatility benefits that we’ve all experienced in the past are less, but volatility generally helps more important for us since most of our foreign exchange trading is really on the backs of our servicing businesses. It’s more important for us to capture volumes. And so we’re a volume driven shop and that’s why we feel pretty good about the level of volumes increases on our FX electronic platforms associated with our investment services businesses. So generally it helps but it’s not nearly as impactful as it once was.
Gerald Hassell: And I would add to that, the volatility we look for primarily since we’re not a big fixed income or equity trading shop it’s really around the FX, our FX business is related to FX. And we do print a volatility index number that I wouldn’t say it is perfectly correlated but it’s correlated to what we’re looking at and you can see in the third quarter versus the second quarter it’s basically flat down substantially from last year but basically flat, so recent events have tended to move that a little bit.
Brennan Hawken : Okay, thanks for the color.
 UBS: Okay, thanks for the color.
Operator: Thank you. The next question is from Mike Mayo with CLSA.
Mike Mayo : First, just a clarification, the new asset manager that you bought Cutwater Asset Management you said they’ll be working with Insight. Will that be a new investment management boutique or it will be folded in to an existing one?
 CLSA: First, just a clarification, the new asset manager that you bought Cutwater Asset Management you said they’ll be working with Insight. Will that be a new investment management boutique or it will be folded in to an existing one?
Todd Gibbons: Mike it’s going to be a new boutique as part of our own enterprise. It’s Cutwater.
Mike Mayo : Okay, thanks, okay. And then just my main question for the Investor Day on October 28th which I’ll ask now, but I am guessing we’ll get a bigger answer. If you look at investment -- in the servicing fee for this year relative to assets under custody when you look at that ratio overtime it’s one of the lowest levels that it’s been if you go back 10, 15 even 20 years. And that’s despite additional market share by BNY Mellon especially but by all the largest players. So, why don’t you have better pricing given increases in market share overtime and given all the scale benefits that you guys talk about?
 CLSA: Okay, thanks, okay. And then just my main question for the Investor Day on October 28th which I’ll ask now, but I am guessing we’ll get a bigger answer. If you look at investment -- in the servicing fee for this year relative to assets under custody when you look at that ratio overtime it’s one of the lowest levels that it’s been if you go back 10, 15 even 20 years. And that’s despite additional market share by BNY Mellon especially but by all the largest players. So, why don’t you have better pricing given increases in market share overtime and given all the scale benefits that you guys talk about?
Todd Gibbons: Mike I think this quarter is a good example where we actually saw the fees rise faster than the assets under custody. So some of our other services our so called value-added services like collateral and some of the other things are starting to kick in. So, this is a good example this quarter and I can’t promise that every quarter but this is a good quarter where we actually are seeing this fee increase and some other pricing discipline we’re putting in place around the transactions and clients that we do business with are starting to pay off. So assets under custody were up 3%, asset servicing fees were up 6% for the quarter, so we’re trying to accomplish exactly what you’re suggesting.
Mike Mayo : And looking ahead I guess this is a preview of October 28th the main reasons you think that might continue would be what?
 CLSA: And looking ahead I guess this is a preview of October 28th the main reasons you think that might continue would be what?
Todd Gibbons: Well again some of the collateral services, some of the value-added propositions we’re offering our clients are fee-based irrespective of assets under custody and that’s what we’re trying to drive.
Mike Mayo : Okay, alright. Thank you.
 CLSA: Okay, alright. Thank you.
Operator: Thank you. The next question is from Ashley Serrao with Credit Suisse.
Ashley Serrao : Good morning. I had a two part question on interest rates, as far as how you’re thinking about the current reinvestment environment and what your reinvestment yields look like and I was hoping you could contrast U.S. versus Europe given the very different rate dynamics, and the second given the recent move down into 10 years and long-term rates, how should we be thinking about pension costs next year?
 Credit Suisse: Good morning. I had a two part question on interest rates, as far as how you’re thinking about the current reinvestment environment and what your reinvestment yields look like and I was hoping you could contrast U.S. versus Europe given the very different rate dynamics, and the second given the recent move down into 10 years and long-term rates, how should we be thinking about pension costs next year?
Todd Gibbons: Sure, Ashley, a couple of things. In terms of reinvestment typically what we model is we look at the market and the forward rate curve and we estimate around that, we’ll also model whether rates are just flat that they don’t change. Given they are extraordinary low levels, we don’t typically model them going down a lot more but we obviously do sensitize to that as well. So, when we look forward we are assuming that we will reinvest and when we show our sensitivity in our Q, we will assume that we’re reinvesting at the existing market levels. In terms of the discount rate and the lower interest rates and the lower tenure, the discount rate is a corporate credit discount rate, so it's not quite as severe as the drop that should speak to in the tenure. But it is down a bit from where we saw it last year and obviously that means retention obligation would increase in the costs associated with the pension expense would also increase. We give estimates in our Annual Report and what those numbers might look like depending what that discount rate is. So you need to get a good handle around the discount rate.
Ashley Serrao : Thanks for taking the question.
 Credit Suisse: Thanks for taking the question.
Todd Gibbons: Thanks, Ashley.
Operator: Thank you. The next question is from Adam Bedi with Bank of America Merrill Lynch.
Adam Bedi : Thank you and good morning. Just one question, what is your thoughts are around trends in LDI, I know there were some new outflows, last quarter inflows this quarter given some of that recent market volatility has there been anything about a rush to the exit on behalf of some clients who may have hesitated for one reason or another, how do you see it tracking versus pension plan funded status and maybe any quick color on the strategic role on the capabilities of Cutwater versus what Insight already has? Thanks.
 Bank of America Merrill Lynch: Thank you and good morning. Just one question, what is your thoughts are around trends in LDI, I know there were some new outflows, last quarter inflows this quarter given some of that recent market volatility has there been anything about a rush to the exit on behalf of some clients who may have hesitated for one reason or another, how do you see it tracking versus pension plan funded status and maybe any quick color on the strategic role on the capabilities of Cutwater versus what Insight already has? Thanks.
Todd Gibbons: Sure, Adam it is a great question. The LDI business still has very robust pipelines as mentioned broadly are looking to derisk. In fact if you remember last quarter we actually had one sizeable outflow net of that we had pretty meaningful inflows. So the business is robust, the pipelines are strong and I would tell you that it has obviously been a very big business for us in the UK specifically and around the world generally, but we see the U.S. opportunity to really continuing to expand. Your question about how are pensions thinking about in the current environment, when we saw that the tenure approached 3% yield here in the U.S. last time and the stock market was doing really well, funded status levels actually got to a point where more people were interested in it and I think the general view was rates were going to continue to move higher. There were obviously two sides to every market, but I think there was a view that maybe rates would continue to move up and the funded status would even be better in the LDI move in our pension plan might become even more attractive. This last move down I think has made people more thoughtful about looking at the opportunity to derisk their plan and to take advantage of it when it make sense to them to do it and to, we do think that people will, people who have made the decision, pension planners who have made the decision to derisk their plan will be more active in doing so as the opportunity to the exists. So, and another thing I would you just to extend that point, the skills involved in doing LDI and every plan is different. And in the UK you have an inflation component and that can be more complicated than some of the plans in the U.S. But the skills involved really are about being able to create a solution around a liability. So buying assets against a match liability that looks a lot like and is actually absolute return investing generating risk adjusted returns for clients and I would tell you that the skills there really can be to other large growth opportunities for us. One is around the retirement space for individual, so a lot of the techniques and capabilities are quite similar for creating retirement solutions for individual investors. And then also there continues to be a lot of interest both on the institutional end broader investor front, four absolute return strategies that look like these strategies. So absolute return, real return, investing that you hear a lot about is going to leverage those same capabilities. And so Cutwater brings a much deeper capability in U.S. fixed income markets. Again we have the LDI businesses in Spanish and Mellon Capital as well. But Insight as now largest LDI driver in the world continuously winning awards for the great capabilities they have being able to have the intellectual capital sharing from our Insight team with our Cutwater extended capabilities in that new boutique it really is going to position us quite well we think to continue to benefit from pension derisking trends.
Adam Bedi : Appreciate the detail. Thank you.
 Bank of America Merrill Lynch: Appreciate the detail. Thank you.
Operator: Thank you. The next question is from Brian Bedell with Deutsche Bank.
Brian Bedell : Hi. Good morning, folks. Could you talk a little bit maybe expand a little bit on the collateral management business. You say you’re obviously getting some traction there now, if you can opine a little bit about some of the discussions on tri-party repo in the marketplace including potential centralized clearing of that? And then if -- I don’t know if there is any way to frame that contribution as we model that and that growth for you overtime. Is that something you’re thinking about maybe starting to disclose in terms of the actual revenue as opposed to just the balances? I don’t know I’ll stop there and I’ll ask the other one if you let.
 Deutsche Bank: Hi. Good morning, folks. Could you talk a little bit maybe expand a little bit on the collateral management business. You say you’re obviously getting some traction there now, if you can opine a little bit about some of the discussions on tri-party repo in the marketplace including potential centralized clearing of that? And then if -- I don’t know if there is any way to frame that contribution as we model that and that growth for you overtime. Is that something you’re thinking about maybe starting to disclose in terms of the actual revenue as opposed to just the balances? I don’t know I’ll stop there and I’ll ask the other one if you let.
Gerald Hassell: Sure. So I will start with part of that the collateral services I think we said in our commentary that the traction we’re seeing is really on the optimization and the segregation side of it. We’re beginning to see the early signs as equal to transformation where someone has the wrong collateral in the wrong place and also as more and more transactions are required to be collateralized all around the world there is more increasing activity. It has been slower over the last eight years than we thought it but it’s now picking up pace and it is showing up in our numbers and some of our growth rates. And that’s one of the contributors to solid investment services fees growth for the quarter. Tri-party repo and tri-party repo reform certainly the technology expense that we have put into that is largely behind us. We have a couple of more waves to complete but they’re really very-very technical in nature. And generally as you can see our tri-party balances are going up they’re probably shrinking in the U.S. and growing outside the U.S. with the others in the U.S. are getting smaller in their positions but it’s being taken up by the secondary the others and the non-U.S. players. So it’s a global business for us not only in tri-party but collateral services broadly. So we are actually quite encouraged with the potential growth rates of the business. Your last point or question should we give more clarity around it, that’s something we’re thinking about. But we will to be continued as they say Todd I don’t know if you want to add?
Todd Gibbons: Or Curt you want to add anything to?
Kurt Woetzel: No I just maybe Brian a little color of what’s maybe some of the activity that are really driving the growth and it’s really the equity securities financing that is going on around the globe it’s one piece of that puzzle. The other is, is that the collateralization of things like ETFs that need collateral underneath them and third is really the OTC market having to be now collateralized and segregated and we are a natural place for that to happen between two parties. And lastly we’re helping the CCPs around the globe in segregation capabilities whether it be providing our technology, our knowhow or being a custodian on behalf of those of those segregation activities. So really those are the underlying drivers to the growth that we’ve seen over the last year and even a little longer.
Todd Gibbons: Brian, probably also worth noting that, the FSB put out a proposal this week around required minimum margins for transactions done with the banking system. At this point I don’t know Curt if you want to comment on that, we don’t really see that having a tremendous effect. It will take a little bit of leverage out of the market but we don’t see it either as a positive or a negative at this point.
Kurt Woetzel: Well, the one thing it will drive is people have got to be smarter about their collateral and how to optimize it and make sure it’s in the right place to reduce the capital cost associated with the margin cost associated with it. That’s where I think our technology and algorithms are great vehicle for being able to do that. And we’ve always said that our benefits in the marketplace is really our technology not the margining that we do. So, if it’s a standard margin across the world, we don’t see any impact to us in terms of strength of our business model. We believe in technology and algorithms and solutions.
Todd Gibbons: And Brian in response to the disclosure and we have components of this is in net interest income and the securities finance some portions of it’s in our securities lending activities some of it’s in our asset servicing fees and the tri-party itself the custodial function that we show there it’s not a huge number. So this is hard for us to break out something like that.
Brian Bedell : And then just maybe talk about Investor Day a little bit more deeply would help since it is a good growth area but that’s helpful. And then two tiny clarifications I think Todd did you say that tax rate was 25 to 27 or did you say 27?
 Deutsche Bank: And then just maybe talk about Investor Day a little bit more deeply would help since it is a good growth area but that’s helpful. And then two tiny clarifications I think Todd did you say that tax rate was 25 to 27 or did you say 27?
Todd Gibbons: No, I meant to say 27 and I slipped 20 some and I would like it to be 25.
Brian Bedell : And then just if you could confirm the corporate trust run off is it still an 18 months drag on the fee revenues? And then I just want to squeeze in one there on the money in motion on the fixed -- on the active income side Blackrock said they thought they can gain about something in the 10s billions of over about a year or so in terms of market share. Maybe Curtis if you could opine on that.
 Deutsche Bank: And then just if you could confirm the corporate trust run off is it still an 18 months drag on the fee revenues? And then I just want to squeeze in one there on the money in motion on the fixed -- on the active income side Blackrock said they thought they can gain about something in the 10s billions of over about a year or so in terms of market share. Maybe Curtis if you could opine on that.
Curtis Arledge: We’ll let you know with all of those follow-ups we’re trying to restrict it to one follow-up.
Brian Bedell : I am sorry, yes okay.
 Deutsche Bank: I am sorry, yes okay.
Todd Gibbons: I think the first question was related to corporate trust I would say that that’s consistent. We still -- we feel pretty confident that that’s starting to slow and we’ll turn over that time period. And then I will turn the other one over to Curtis.
Curtis Arledge: So that there clearly money in motion as you pointed out we’ve already seen it. We have both funded wins and to be funded wins as well as verbal commitments that we’re seeing both in the U.S. and beginning to happen globally as well. We do think this is something that is going to play out overtime. A lot of commotion right now, but we actually think it will be sustained and do think that money in motion is always on to our benefit. I will tell you that we feel very well positioned here both because we have strong performance an array of vey deep capabilities and very importantly a tremendous amount of capacity. A lot of people who are thinking about whether they should put their own in motion are evaluating just how large any centralized investment thing can be. And so because our multi-boutique model is perfectly suited for those people who are looking for deep capabilities but not too big, so that’s a big part of our focus.
Brian Bedell : Thank you very much.
Deutsche Bank: Thank you very much.
Todd Gibbons: Thanks Brian.
Operator: Thank you. The next question is from Jeffery Elliott with Autonomous Research.
Jeffery Elliott : You mentioned the decline in large broker’s matchbook, what do you think is behind that? Is it this daily reporting of the Form SLR 2052 to the Fed do you think that what has prompted them to bring down the matchbooks or do you think it’s growth of assets?
Autonomous Research: You mentioned the decline in large broker’s matchbook, what do you think is behind that? Is it this daily reporting of the Form SLR 2052 to the Fed do you think that what has prompted them to bring down the matchbooks or do you think it’s growth of assets?
Todd Gibbons: I think it’s very simple. And you have said supplemental leverage ratio and cost-to-capital being applied against this, and the cost of financing has significantly increased so the cost of them to carry that matchbook is much greater than what it once was.
Gerald Hassell: And Jeff the other thing I would add to that is. The leverage ratio even before you get into the SLR the leverage ratio could be a constraining factor in somebody’s CCAR analysis. So that the very low yield and very low return treasury type of repo really doesn’t make sense for them to continue to hold in a matchbook if it’s going to put pressure on their CCAR performance.
Jeffery Elliott : And then just one quick bit of clarification, you mentioned flat expenses for the full year. What’s the base we should be looking at for that, should we be taking out any of the one offs in year-to-date 2014?
Autonomous Research: And then just one quick bit of clarification, you mentioned flat expenses for the full year. What’s the base we should be looking at for that, should we be taking out any of the one offs in year-to-date 2014?
Todd Gibbons: Yes. The way we disclosed operating expenses it excludes M&I litigation and restructuring. So that’s what I mean by flat operating expenses on a year-over-year basis. We would expect those to be flat.
Jeffery Elliott : Great, thank you very much.
Autonomous Research: Great, thank you very much.
Todd Gibbons: Thanks Jeff.
Gerald Hassell: Thank you, Jeff.
Operator: Thank you. The next question is from Gerard Cassidy with RBC.
Gerard Cassidy : Thank you. Good morning. Todd you mentioned that you extended out the duration of the securities portfolio with the change in strategy. How far out is that duration and how far out are you willing to go with the rate environment the way it is?
RBC Capital Markets: Thank you. Good morning. Todd you mentioned that you extended out the duration of the securities portfolio with the change in strategy. How far out is that duration and how far out are you willing to go with the rate environment the way it is?
Todd Gibbons: Yes, not much Gerard. We are bold and we are buying two and three year types of securities. So the duration of that portfolio would have just inched up a little bit. The contraction and interest rates that we have seen on the securities that have negative convexity has probably brought that duration back to flat over the past few days actually. But where there is a huge opportunity cost for us to do that. And we don’t think that getting a little bit of current income at that that kind of an opportunity cost makes a heck of a lot of a sense right now.
Gerard Cassidy : Okay, thank you. And then on the operating expense side, the quarter expenses you guys have done an amenable job in keeping that down. Can you share with us from a regulatory cost standpoint, I don’t know if you want to give us the dollar amount but what percentage of your operating costs would you define as regulatory related today versus three or four years ago. How much has it -- obviously it’s gone up and we are just trying to frame out how much has it gone up?
RBC Capital Markets: Okay, thank you. And then on the operating expense side, the quarter expenses you guys have done an amenable job in keeping that down. Can you share with us from a regulatory cost standpoint, I don’t know if you want to give us the dollar amount but what percentage of your operating costs would you define as regulatory related today versus three or four years ago. How much has it -- obviously it’s gone up and we are just trying to frame out how much has it gone up?
Todd Gibbons: Gerard it’s a substantial number. It’s hard to tease out with any real procession. Because you might have some areas for example that have got more efficient but they have had take on a lot more regulatory. So we can certainly look at projects and the costs associated with executing projects whether it’s compliance with the LCR, the new BASAL standards, the resolution recovery back and so forth. When we look at some of our key functions we are seeing substantial rises. We also had indicated that specifically in our tri-party reform efforts that our cost in operating that business went up as much as $80 million for all of the broker dealer and tri-party clearance business. So we have not reported anything more specific than that but I would say it is substantial.
Gerald Hassell: That $80 million is just one example for one narrow business. So you can project that across all of our businesses. And put a multiplier factor on that. And it’s a big number.
Gerard Cassidy : Would you guys say that regulatory costs are cresting? Obviously there has been a big ramp over the last five years. But are we near peak where they will just stabilize I know this is still just an onward and upward number?
RBC Capital Markets: Would you guys say that regulatory costs are cresting? Obviously there has been a big ramp over the last five years. But are we near peak where they will just stabilize I know this is still just an onward and upward number?
Todd Gibbons: Gerard the statement that we have made is we don’t think that the rate of increase is increasing. So I wouldn’t say that is necessarily cresting. We are still seeing we have new items coming on. You have the NSFR that we are going to eventually have to report. There is going to be more work around resolution and recovery planning so you have a number of new items that we face. We’re putting some things behind us some things are still in the developmental and so there are some things that we’ll probably see in the future and it is hard to project if there might be additions. So that’s what we know. So it seems like our spend rate is stabilizing, the growth rates not nearly as significant as it was but it is on a bigger base.
Gerard Cassidy : Thank you, I appreciate the color.
RBC Capital Markets: Thank you, I appreciate the color.
Operator: Thank you. The next question is from Jim Mitchell with Buckingham Research.
Jim Mitchell : Hey. Good morning. Just a quick question on the asset management business, I mean LDI have seem some good flows. But if you look at the equity side of the equation you’ve had net outflows for the last four quarters is that a performance thing or can you just kind of help us think through the flows on the equity side?
 Buckingham Research: Hey. Good morning. Just a quick question on the asset management business, I mean LDI have seem some good flows. But if you look at the equity side of the equation you’ve had net outflows for the last four quarters is that a performance thing or can you just kind of help us think through the flows on the equity side?
Todd Gibbons: Yes, absolutely. I think there are a couple of things going on in there. One is we absolutely saw re-bouncing, as you saw at the end of last year markets have done well, a lot of the activity there was from clients who had come to us and invested when the equity markets were at lower valuations and were taking money off the table. Through this year has been a continuation of that there had not been any significant outflow from any one place. Again we have an array of equity investment firms and each of them had experienced some level of outflow across some of their product offerings. Where performance is always going to be differentiated across our entire platform and where performance had been on the softer side close have absolutely been more in those areas. So, there is absolutely some linkage when a client is taking money out of the equity market that they think about what performance has been. So there is some linkage but it is nothing that I would say is systemic in any one place. I will tell you that where we one of the things that a number of our firms do is focus a lot on generating returns against the risk that they are taking so very focused on TARP ratio and also in managing against downside scenarios. And the last month some of the strategies that might have lagged a bit during the past year or so have actually done exceedingly well so you have the broad story.
Jim Mitchell : And has it been mostly concentrated in institutional or across both retail and institutional?
 Buckingham Research: And has it been mostly concentrated in institutional or across both retail and institutional?
Todd Gibbons: Better to the size of institutional it's much more institutional.
Jim Mitchell : Okay, great. Thanks.
 Buckingham Research: Okay, great. Thanks.
Operator: Thank you. The next question is from Alex Blostein with Goldman Sachs.
Alex Blostein : Thanks. Sorry for a follow-up here it is a quick numbers question. But Todd I just did double check on the expense comment you made I mean it looks like if you take your core number last year and you’re seeing kind of the same and back into the fourth quarter you got a pretty meaningful step up closer to like a $2.9 billion run rate which is like a two, six and change you’ve been doing it is a lot or what kind of over the course of the year. Is that the right way to think about it and then if so like what essentially would cause the step up in the fourth quarter?
 Goldman Sachs: Thanks. Sorry for a follow-up here it is a quick numbers question. But Todd I just did double check on the expense comment you made I mean it looks like if you take your core number last year and you’re seeing kind of the same and back into the fourth quarter you got a pretty meaningful step up closer to like a $2.9 billion run rate which is like a two, six and change you’ve been doing it is a lot or what kind of over the course of the year. Is that the right way to think about it and then if so like what essentially would cause the step up in the fourth quarter?
Todd Gibbons: That sounds a little bit high Alex, take a little sharper look at it and we are excluding M&I restructuring and litigation.
Alex Blostein : Okay. So you are saying like 267 is still the number essentially for the next quarter?
 Goldman Sachs: Okay. So you are saying like 267 is still the number essentially for the next quarter?
Todd Gibbons:  I would expect again we had indicated that we would expect it to increase from the third quarter for all the seasonal factors that I mentioned. Important for example DR revenue doesn’t have a lot of expense with it, it can be likely but not all of that will be replaced with lower margin business that will be one of the drivers that you have to take into consideration. The other driver is that we have quite a few of our business development conferences and so forth in the fourth quarter that will step up and also our consulting and legal expenses we would expect to be higher in the fourth quarter. So making adjustments for those you will see them up but in aggregate for the full year, I think you’ll see it flat maybe for, maybe a little bit down.
Gerald Hassell:  And Alex just adding, I think we have a line item in the statements for you where the third quarter of last year was 2.682 versus the third quarter of this year 2.673 and that’s why, and that’s the way we look at it in terms of the core operating expense to the company was actually down slightly year-over-year and we want to try to hold expenses flat for the entire year.
Alex Blostein : Got it. Alright. Thanks we can follow-up offline.
 Goldman Sachs: Got it. Alright. Thanks we can follow-up offline.
Gerald Hassell: Okay. Thanks, Alex.
Operator: Thank you. Our final question today is from Ashley Serrao with Credit Suisse.
Ashley Serrao : Hi, guys. I just wanted to get back in, and just ask your broader bigger picture question. Just given that your influence in the fixed income markets, I was just hoping to share some color on any of the portfolio the liquidity challenges or investment options you’re seeing out there today?
 Credit Suisse: Hi, guys. I just wanted to get back in, and just ask your broader bigger picture question. Just given that your influence in the fixed income markets, I was just hoping to share some color on any of the portfolio the liquidity challenges or investment options you’re seeing out there today?
Gerald Hassell:  There is not a whole lot of investment opportunities in a very-very low interest rate environment and they are negative interest rate environment in Europe. So we can let the equity challenges are Todd sited in earlier, you look at money market funds trying to find places to invest when the dealer book is shrinking you have got to reverse repo market that has a demand much greater than the $300 billion cap. The demand was 407 billion. At the end of the third quarter I suspect the demand is going to be even higher than that in the fourth quarter, so if that sort of photonic plates working against each other the dealers the dealer books their balance sheets are shrinking by design for capital and cost purposes. And the liquidity that’s in the system is even higher. So there is a lot of search going on for some plates to put the liquidity and get some yield. And it’s a really hard equation right now.
Curtis Arledge: And actually it’s Curtis. I would add it has been a lot of chatter about market liquidity has resulted in change in regulation, change in repo markets. And I do think that there is nervousness among market participants about the idea that if there were a rush out of asset classes that we would see limited liquidity. We saw a little bit of that I think over the past couple of weeks where markets were more volatile and there were some balances on the liquidity. One of the things that’s interesting about that period is it was while interest rates were falling. And so generally the valuations and fixed income markets in aggregate we are not as stressed. I think that periods of that liquidity in a rising rate environment are the ones where a lot of scenarios get drawn out and that’s actually if you sit here at BNY Mellon and you watch the entire evolution of market structure from both investment services and investment management perspective. We really do believe that the electronic platforms are being put in place, and that the all the work around collateral for all our transactions are going to occur critical. And we thing it is actually a pretty big opportunity for us to help recreate the tools of liquidity that the markets are going to need with whatever market environment we are in, so Kurt I don’t know if you want to.
Gerald Hassell: Okay. Well thank you everybody for dialing in. Just again to summarize we are encouraged by our results in the third quarter. However, we strongly believe we can in fact improve our financial performance even greater than what’s reflected in this quarter and we will be discussing more of that in the -- and our upside at our Investor Day later this month. So look forward to talking to you all and seeing in person at the end of the month. And just as a reminder if you have additional questions please follow-up with Izzy Dawood. So thank you very much for joining us today.